Operator: Excuse me everyone. We now have Sean Reilly and Keith Istre in conference. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount of timing and of any distributions to stockholders. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's second quarter 2016 earnings release and its most recent annual report on Form 10-K as updated or supplemented by its quarterly reports on Form 10-Q. Lamar refers to you those documents. Lamar's second quarter 2016 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on Form 8-K this morning and is available on the Investors section of Lamar's website at www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Eugene Reilly - Chief Executive Officer: Thank you, Jennifer, and good morning all, and welcome to Lamar's Q2 earnings call. We're pleased to report a strong second quarter all the way around, particularly in key AFFO per share metric. And as we move into the back half of 2016, we're quite comfortable with our previously issued full year AFFO per share guidance. That guidance reaffirmed, we have seen a slight softening of activity of late and are consequently guiding to low single-digit pro forma revenue growth for Q3, a little bit below the pace of Q2. By the way, the SEC now requires us to use the term acquisition-adjusted in lieu of pro forma in our releases. These terms for us are interchangeable, and I will be using them interchangeably. I'm going to turn it over to Keith. He'll walk a little bit through the numbers, and then I'll hit some other key metrics. Keith?
Keith Istre - Chief Financial Officer & Treasurer: Okay. Good morning everybody. If you have your press release in front of you, if you look at the top, there's two sections. One is three-month results and then three-month acquisition-adjusted results. That's what Sean was referring to just now. That used to be named three-month pro forma results. The numbers are the same. It's just, again, we've re-titled it as acquisition-adjusted. You can see the net revenue on a pro forma basis was up 3.5% for the quarter. Our consolidated expense growth, operating and corporate overhead was up 1.8%. So that translates to a nice return on the EBITDA line of 5.6%. Just to mention a couple of the second quarter highlights. Same unit digital revenue was up 5.1% for the quarter. You may recall that in the first quarter, same unit digital was up 3.4%, so hopefully we've got a trend going there. AFFO increased by almost $16 million or 13%. AFFO per share increased 12% for the quarter, and free cash flow was $190 million for the first six months of the year. That's a $26 million increase over last year, or a 16% increase. Sean, I'll turn it back to you.
Sean Eugene Reilly - Chief Executive Officer: Great. Thanks. Let me highlight again that digital performance. We're really pleased to see that number up 5.1% same board, same digital unit, just a real strong performance. We ended up the quarter with 2,510 digital units in the year. Recall that 171 of those were part of the Clear Channel acquisition. So year-to-date including that 171, we're up 221 digital units for the year. In terms of new builds, we've added 68 as of the first half. And again, the performance that they're turning in is exceeding our expectations right now. Very pleased with the performance of that platform. The national sales mix flipped a little bit Q2 versus Q1. In Q1, we are 81% local, 19% national. That turned into 77% local, 23% national in Q2. And in Q2, national was particularly strong. It was up 9% in our book. Local was up a little less than 2% at 1.9%. Strong categories, restaurants up 7%, service up 14%, real estate up 14%. Virtually every one of our top 10 verticals were strong and up with the exception of retail, which was down 1% in Q2 of 2016 versus Q2 of 2015. With that, I will open it up for questions. Jennifer?
Operator: Thank you. Our first question comes from Jason Bazinet with Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Thanks so much. I just had a quick question on the private outdoor market for a second. Public multiples have expanded in the low rate environment. And just based on your readings of private market assets, are those moving up as well or do you sort of view the asking prices for those assets are untethered from the rate environment that we're in? Thanks.
Sean Eugene Reilly - Chief Executive Officer: Well thanks, Jason. The nearest touch point we have, of course, is the auction that recently took place with the Clear Channel asset. And if you look at the multiples there on a trailing basis, I would say they approach but didn't quite meet where the public multiples are. On a forward basis, maybe a turn and a half less than our trading multiple, so it really kind of depends on who the buyer is and what they can do with the assets. But if you look at the pricing we released back in January for those assets on a trailing basis, it was in the sort of 12.5 range. On a forward basis for us, it's sort of between 11 and 11.5, given how we're doing with the assets.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. Okay.
Sean Eugene Reilly - Chief Executive Officer: And all that information was part of our release.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): And would you view that as indicative of sort of the private market more broadly to fund that transaction?
Sean Eugene Reilly - Chief Executive Officer: It really depends on the asset. But not all billboard assets or out-of-home assets are created equally. Number one, not all of them are REIT qualified. Number two, within the universe of REIT qualified assets, some are of higher quality than others. So again, it really depends on the quality of the assets and what our new operator can do with those assets.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. All right. Thank you very much.
Operator: Thank you. Our next question comes from Marci Ryvicker with Wells Fargo.
Stephan E. Bisson - Wells Fargo Securities LLC: Good morning. It's Stephan on for Marci. The quarter came in a little bit softer than we had thought and kind of the way it sounded like it was pacing on the last call. Did it soften up towards the end of the quarter?
Sean Eugene Reilly - Chief Executive Officer: Again, as we move into the summer, as I mentioned, we saw a little bit of softening of activity. So yeah, that would have affected June a little bit. You're talking really about the law of small numbers there, but you could see in the performance of national versus local in Q2 that local softened up a tad. We expect as we finish up the year that national and local are going to come in pretty close to each other, and again, strong enough to meet our guidance.
Stephan E. Bisson - Wells Fargo Securities LLC: Got it. And then are those the same trends that have caused the softening in the second half and same for digital pacing?
Sean Eugene Reilly - Chief Executive Officer: Yeah. I wouldn't go completely to the full second half. What we're seeing is just a little bit of a downdraft for Q3. It's a little early to call Q4, and we don't quite know how political is going to shape up. But yeah, just a little bit softer than what we saw in Q2.
Stephan E. Bisson - Wells Fargo Securities LLC: Great. Thank you so much.
Operator: Thank you. Our next question comes from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. You said that the impact of digital growth in the quarter, which we happened to continued numbers as well, any more color on what is the driver behind that? Are there certain categories that were pushing that? And then, just any commentary if you have any at all, in terms of the visibility on that strength that's continuing into the September quarter.
Sean Eugene Reilly - Chief Executive Officer: Sure. So, I think I can point to a couple of things. Most importantly, it's been the strength of national digital. So in large part, that over-performance on the national book is disproportionately in the digital. They're coming in strong and they're using it the way it's intended to be used. And it's moving the needle for them. And so, I just feel real good about that because we're investing heavily, and that investment's going to pay off. We've also seen a little bit of acceleration in the use of our programmatic platform. I would describe it as still in its infancy, but it's accelerating each month. And that's an encouraging sign. In fact, for the first time I think in the industry's history, we had a screen agnostic buy which means a digital dollar was dropped into the algorithms, and we were competing head up against mobile screens without a predetermined allocation to out-of-home, and we got a share of the buy. So, that happened in June, and it was quite something to see. Again, it's in its infancy, but we're seeing acceleration every month in the utilization of our automated platform.
Alexia S. Quadrani - JPMorgan Securities LLC: And then just a quick follow-up on the softness or the just a little bit of softening you're seeing into the Q3 in the static side. Is that – are you seeing any change in the entertainment category specific? One of your peers mentioned that for Q3, I don't think you have that much of an overlap, just a couple of markets and maybe you're not seeing it as well. But is that one of the causes for maybe a little bit of the delta?
Sean Eugene Reilly - Chief Executive Officer: Yeah. You're spot on there, and it's primarily in New York City. The entertainment buys have been a little bit soft and a little bit erratic. I don't know if it's the lineup of movies that are coming out this time or what, but that's been a factor, and it's been a category that's been a little bit, like I said, erratic for us. The other thing is political. It's been hard to get your arms around this year. I don't know what's creating that sort of irregular pattern. But it appears to us that we should come in as predicted in October, but September has been a tough call on what's going to happen with the political dollar.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Ben Swinburne with Morgan Stanley.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Hey, good morning.
Sean Eugene Reilly - Chief Executive Officer: Hi, Ben.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Hey, Sean. Just a couple of kind of housekeeping and follow-on questions. What are you thinking for digital boards this year? Do you have a sort of a budget that you're confident at this point or is there still some variability there?
Sean Eugene Reilly - Chief Executive Officer: We got it at somewhere between 100 and 150 and it looks like we're pacing to get there, with 68 up in the first half. So, I think it's a good sort of guesstimate to just double what we've done.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Okay. And then you made a comment before on New York, but I was just curious since we're all sort of deathly afraid of sort of a real macro slowdown. We're trying to figure out whether we should worry or not. Is there anything interesting in the regional variances around your business? You guys have very different markets around the country, so I was wondering if you're seeing anything that you might call out, and as you look at this slight deceleration whether it's in the oil patch in the South or Gulf Coast or anything else you'd call out.
Sean Eugene Reilly - Chief Executive Officer: So, let me start with the oil patch. From a top-line pro forma point of view, our Southwest division is coming in the weakest, but still up. So second quarter, the Southwest was up 0.1%. So, weaker than the rest, but still in positive territory, and given what's going in places like Oklahoma City and Midland, Texas, and places like that, I'd count that as a win. The strongest region is the Western, followed by the Gulf Coast, followed by the Atlantic, Mid-Atlantic and the Midwest. So, we're not seeing anything that would send off alarm bells in terms of as we look across the regions, relative strength pretty much everywhere with the exception of the oil patch. And as I mentioned, New York City had a difficult last few months given what was going on with the movie buys.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Yeah. Then just lastly on political, can you just remind us if you remember what you guys did in 2014 or 2012, just we kind of think about historical performance?
Sean Eugene Reilly - Chief Executive Officer: Yeah. So, in 2014, we did $7.5 million in political. In 2015, that fell down to $4 million, and actually $7.5 million, $4 million. And this year, we have on the books about $5.2 million in political. September pacing slightly behind, September of 2014. We took a good long hard look at that and are trying to ferret out where it's going to shake out. At the end of the day, we think we approach that 2014 number. But it's coming in. It's coming in at a different, sort of in a different pattern.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Right.
Sean Eugene Reilly - Chief Executive Officer: Again, October looks like it's going to approach that 2014 pacing but we'll see how it comes out.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Yes. Okay. Thanks a lot.
Sean Eugene Reilly - Chief Executive Officer: Yes.
Operator: Thank you. Our next question comes from Norman Kramer with Kramer Investments.
Norman Konogy Kramer - Kramer Investments, Inc.: Hi. Good morning. Could you explain a bit about what makes an asset qualifying for repurposes and what makes it non-qualifying and perhaps give an example?
Sean Eugene Reilly - Chief Executive Officer: Sure. Well, the definition of REIT-qualified asset is when you put it there, did you intend for it to stay there forever. And then so you start with that. And in the outdoor world, that covers virtually all of our traditional inventory, bulletins and posters and our digital unit. It also covers a little niche product that we have called logos. Those are the little blue signs on the side of highway right-of-ways, food gas lodging, right. Now to answer that, that gets parsed a little differently. Bus shelters are deemed REIT qualified. Bus benches are in a gray area and wrapping buses, traditional transit advertising is not REIT qualified obviously busses roll. So, in a nutshell, how it breaks out in the out-of-home world, and again, the basic rule is when you put it there, you don't intend for it to be there forever.
Norman Konogy Kramer - Kramer Investments, Inc.: Oh, I see. Okay. Thank you for that and one second question. Do you see yourself being more acquisitive going forward and have seen a REIT that you feel that you're having advantage in terms of acquisition. Where do you think you're going with this?
Sean Eugene Reilly - Chief Executive Officer: Well, as we said repeatedly, if there are high quality REIT qualified assets out there, we're going to be interested and be active on the acquisition front. There is another out-of-home REIT in upfront, so certainly the two of us converting to a REIT has less (19:05) asset prices and asset valuation. And I view that as a good thing. It's certainly done a good thing for our shareholders. So, yeah, again, if there's high quality REIT qualified assets out there in the out-of-home space, we'll be fine.
Norman Konogy Kramer - Kramer Investments, Inc.: Okay. Thank you very much.
Sean Eugene Reilly - Chief Executive Officer: Yes.
Operator: Thank you. I would now like to turn the conference back over to Mr. Sean Reilly.
Sean Eugene Reilly - Chief Executive Officer: Well, great. Thank you, Jennifer, and thank you all for joining us on our Q2 earnings call. We look forward to visiting with you in November when we get together again, and put a wrap on the year. Thank you, guys.
Operator: Thank you. Ladies and gentlemen, at this time, this concludes today's teleconference. You may now disconnect.